Operator: Good day, everyone and welcome to the Garmin Ltd. Fourth Quarter 2012 Earnings Conference Call. As a reminder, today's call is being recorded. At this time, I'd like to turn the call over to Ms. Kerri Thurston. Please go ahead, ma'am.
Kerri Thurston: Thank you, and good morning, everyone. We'd like to welcome you to Garmin Ltd's. Fourth Quarter 2012 Earnings Call. Please note that the earnings press release and related slides are available at Garmin's Investor Relations site on the Internet. The archive of the webcast and related transcript will also be available on our website until March 29th. This earnings call includes projections and other forward-looking statements regarding Garmin Ltd. and its business. Any statements regarding our future financial position, revenues, earnings, market shares, product introductions, future demand for our products and objectives are forward-looking statements. The forward-looking events and circumstances discussed in this earnings call may not occur, and actual results could differ materially as a result of risk factors affecting Garmin. Information concerning these risk factors is contained in our Form 10-K for the year ended December 31, 2011, which is on file with the Securities and Exchange Commission. Our 2012 filing will occur next week. Attending on behalf of Garmin Ltd. this morning are Cliff Pemble, President and Chief Executive Officer; and Kevin Rauckman, Chief Financial Officer and Treasurer. At this time, I'll turn the call over to Cliff.
Clifton A. Pemble: Thank you, Kerri, and good morning, everyone. As we announced earlier this morning, business trends for Garmin decelerated in the fourth quarter with consolidated revenues down 16% year-over-year. Gross margins remained strong at 48.6% and operating expenses declined 4% in the period. However, operating margins declined to 19.5% due to the weakness in revenues. As a group, our traditional market segments of Aviation, Marine, Outdoor and Fitness contributed 66% of our total operating income in the quarter. We generated $163 million in free cash flow during the quarter, resulting in a cash balance of just under $2.9 billion. Though these results did not meet our expectations for the quarter, we were pleased with our continued strong profitability and cash flow generation. Reviewing the full year, consolidated revenue declined 2%. However, pro forma EPS grew 4% as margins exceeded the expectations we established at the beginning of the year. Operating income grew 9% to $604 million, with all segments, excluding Marine, contributing to the growth. As a group, our traditional market segments posted revenue growth and contributed over $1.2 billion in total revenue for the year. The revenue growth in these segments, combined with our strong margin profiles, generated 63% of our operating income. We delivered approximately 15.4 million units in 2012, a decline of only 3% year-over-year. Lower PND unit shipments were partially offset by growth in auto OEM, Outdoor and Fitness. We generated $646 million in free cash flow in the year, which is partially used to fund our quarterly dividend and small acquisitions throughout 2012. Next, I will review each of our business segments highlighting 2012 performance, 2013 outlook and a summary of long-term strategic initiatives for each one. Looking first at the Marine segment, on a full year basis, we reported year-over-year revenue decline of 6%, driven primarily by weak market conditions in Europe. Operating income declined significantly, as we invested heavily in research and development to deliver a growing portfolio of products. Though this has reduced segment profitability in the short term, we expect to see improved revenue performance in 2013 as a result of this investment. During the year, we acquired Nexus Marine, resulting in an expansion of our presence in the sailing market, which is an area of strategic focus for our Marine segment. In 2013, we are targeting revenue growth of 5% to 10%, as we anticipate market conditions will improve and recent product introductions will generate additional revenue. These new products include our recently announced glass helms, chartplotters and fishfinders which deliver improved performance through the addition of GLONASS and enhanced sonar capabilities. We also introduced the quatix, a watch that includes compelling marine features, rugged utility and the versatility of wireless connectivity to the Garmin Marine network. The product is another great example of how we successfully leverage products and technologies across our business segments. In the long term, our objective is to increase our market share across the recreational boating industry. We will continue to integrate and leverage our acquisitions in this segment, resulting in a broader range of products for our customers. And finally, we will focus on improving the operating margin performance over the long term. While we expect inherent improvements due to revenue growth, we also see opportunities to improve profitability through increased efficiencies in the Marine segment. Turning next to Aviation, we reported year-over-year revenue growth of 2%. Operating income also grew 2% for the year, due to increased sales and improved gross margins, which offset higher operating expenses in the segment. During 2012, we secured a number of significant wins in the Part 25 business jet market. Cessna selected our G5000 system for the Citation Sovereign slated to enter the market in 2013. Cessna also selected the G5000 for the Citation Longitude, a newly designed aircraft that will enter the market in 2017. In addition, Bombardier selected the G5000 for the new Learjet 70 and 75, which will also enter into service in 2013. Utility and flexibility of our integrated cockpit systems has created opportunities outside of our traditional Aviation business. Northrop Grumman selected Garmin to provide the integrated flight deck for the optionally piloted Firebird. This is a commercial off-the-shelf solution that offers the required capabilities at significant time and cost savings to the manufacturer. Also in 2012, we launched several new system components that position us to secure more content in future OEM and retrofit installations. These components include a solid-state weather radar, ADSP and enhanced TCAS solutions. In 2013, we are targeting revenue growth of 10% to 15% in the Aviation segment. We anticipate the industry will remain relatively flat, with Garmin's growth driven by numerous certifications that expand our share in the business jet market. In addition, we anticipate that recent product introductions will contribute to the growth. Longer term, our growth initiatives are focused on continued development of our G3000 and G5000 platforms with OEM partners, which serves as the foundation of our growth in 2013 and beyond; identifying and capitalizing on additional retrofit opportunities, as well as commercial off-the-shelf opportunities within the military and government sectors; further share gains in the helicopter market; and capitalizing on opportunities created by the FAA's transformation of the national airspace system from a ground-based system of air traffic control to a satellite-based system in air traffic management. Turning next to Outdoor. In the Outdoor segment, we reported year-over-year revenue growth of 11%, which was primarily driven by strong demand for golf and dog tracking products. Growth was further enhanced by a full year of revenue contributions from Tri-Tronics, which we acquired in the second half of 2011. Product highlights from the year include the fenix wristwatch, a rugged yet stylish device designed with the active outdoorsman, featuring GPS navigation with altimeter, barometer and compass functions. The Approach S3 golf watch, offering unmatched convenience, simplicity and capability through the combination of our wearable device platform, touch screen and a built-in worldwide course database. Finally, the Alpha Track and Train system, integrating the best-in-class technologies of Garmin and Tri-Tronics into a single device for the sporting dog market. Looking at 2013, we expect revenue growth of 5% to 10%, driven by both ongoing momentum from existing products, as well as recently introduced products including the BarkLimiter and Delta series for the pet market. These new electronic training aids expand our addressable market and capitalize on the correction technology of Tri-Tronics to deliver superior yet affordable products for the pet owner. Long term, we will continue to create new opportunities by identifying adjacent markets and product categories. We will maintain our focus on utility, content and innovative form factors to engage both new and repeat customers in the segment and embrace the opportunities created by mobile platforms to expand our market reach. In the Fitness segment, we reported year-over-year revenue growth of 8%. While this is not as robust as prior years, we maintained our leadership position in the GPS-enabled Fitness category, due to our strong existing product portfolio and the introduction of the Forerunner 10, targeting entry-level and value-conscious consumers. Return to double-digit growth in the fourth quarter gives us confidence that the market remains underpenetrated. In 2013, we are targeting revenue growth of 5% to 10% in the Fitness segment. We plan to accomplish this by further penetrating the cycling market with our recently launched Edge 510 and 810, which offer unique connectivity features that our customers have requested. We continue to make progress with our Vector power meter and anticipate that it will be available midyear. In addition, we will continue to deliver further innovation across the Fitness category that will appeal to a broad range of consumers, whether shopping for a basic device or full-featured multisport product. Looking beyond 2013, we believe the Fitness segment will continue to grow as society becomes increasingly health conscious and data driven. We will focus on delivering compelling form factors and innovative products to the market, offering a complete solution of device, wireless connectivity, measurement sensors and a well-developed web portal. We will continue to build the Garmin Connect community and social networking capability amongst our users. We also will enhance our devices with best-in-class peripheral sensors that expand our addressable market and leverage our knowledge of hardware, software and connectivity. Looking finally at the Auto/Mobile segment, revenues declined 6% for the year as our strong market share gains could not offset the secular declines in the PND industry, which accelerated in the fourth quarter. We estimate that we exited 2012 with greater than 70% share in North America and approximately 32% share in EMEA. Though the industry headwinds were challenging, we achieved strong margins, which generated over $220 million of operating income for the year. The sustained profitability of the segment highlights the value of market share gains within the segment. Also in 2012, we announced our first tier-1 relationship with Suzuki, providing a complete infotainment head unit system for the vehicle. While the opportunity was somewhat diminished by Suzuki's exit of the North American market, we continue to deliver equipment in Europe, Australia, Russia, India, Canada and Mexico. Also on the OEM front, we continued our successful partnership with Chrysler, launching Garmin navigation on the Dodge Dart and extending our geographic reach into China and Japan. Looking ahead, we expect PND unit deliveries to continue to decline in 2013, driving revenues down 15% to 20%. We will maintain our market share leadership and focus on maximizing our profitability. We will continue to invest in auto OEM opportunities in 2013, leveraging our K2 infotainment platform that was introduced at CES this past January. K2 digital cockpit was nominated by CNET for Best of Show and garnered significant media coverage and consumer attention. We believe it represents one of the most intuitive yet full-featured infotainment systems offered today. Beyond 2013, we'll be focusing on expanding our auto OEM business through additional program wins, as infotainment and navigation become an integral part of the vehicle and capitalizing on niche opportunities in fleet management, over-the-road, trucking and other specialty markets that offer high-margin profiles. Finally, turning to guidance. Given our revenue outlook and expectations for each segment, we are projecting revenues of $2.5 billion to $2.6 billion in 2013, with gross margins stable to slightly increasing from 2012 levels. We are projecting operating income between $480 million and $500 million, with operating margins of 19% to 20%. Factoring an anticipated effective tax rate of 14%, which is 1 percentage point higher than the previous year, results in a forecasted 2013 earnings per share of a range of $2.30 to $2.40. While it appears that 2013 will be a challenging year, we remain highly profitable with strong cash flow generation that allows us to adequately fund our growing business and generate long-term shareholder value through these initiatives. We remain committed to an attractive dividend yield, and our recently announced share repurchase program will return even more value to our shareholders. That concludes my remarks. Kevin will now walk us through our Q4 and full year financials in more detail. Kevin?
Kevin S. Rauckman: Thanks, Cliff, and good morning, everyone. I'd like to begin by reviewing our income statement for the quarter and full year and then segment results, move to the balance sheet and cash flow statement and then finally conclude with some comments regarding our full year 2013 expectations. We posted revenue of $769 million for the quarter, with pro forma net income of $133 million. Our pro forma EPS was $0.68 per share, which excludes foreign currency loss during the period. Our revenue represents a decrease of 16% year-over-year. Gross margin came in at 49% which was a 90 basis point improvement from the prior year. I'll discuss margin results in further detail by segment. Operating margin was 19.5%, down 250 basis points from the prior year. The components of this were gross margin, 9 bps [ph] favorable, offset by an unfavorable operating expense impact of 340 basis points. Total operating expenses decreased by $10 million in the quarter, driven by a $9 million decrease in advertising. Each of the operating expense categories will be discussed further on a later slide. Pro forma EPS of $0.68 represents a 29% decrease year-over-year, driven by decreasing revenues, declining operating margins and an increase on our effective tax rate, which reduced earnings per share by $0.05. Units shipped decreased 17% year-over-year, as just over 5 million units were delivered during the quarter. Looking at full year results, we posted revenue of $2.7 billion for the year, with net income of $542 million. Our pro forma EPS was $2.85 per share, which excludes foreign currency losses. Our revenue decreased 2% year-over-year, while pro forma EPS increased 4%, when excluding FX. Our gross margin at 53% was a 400 basis -- 450 basis point improvement over the prior year. Operating income increased 9% to $604 million compared to $554 million in 2011. Our operating margin was 22.2%, up 210 basis points from 20.1% last year. Pro forma EPS of $2.85 was a 4% increase year-over-year on increasing revenues and improved growth [ph] and operating margins. And our units shipped during 2012 were down 3% year-over-year, as 15.4 million units were delivered. In total, our revenues decreased 16% during the fourth quarter and 2% for the full year. During Q4, we experienced a 25% revenue decline within the Auto/Mobile segment, as volume decline steepened and our product cycle created a difficult comparison. Our Outdoor segment posted a 2% decline as we compare it against a very strong Q4 2011 when we generated 35% growth. The Fitness segment returned to growth, with a 10% revenue increase when compared to Q4 2011 on the strength of our running lineup, including the Forerunner 10. Aviation segment revenues decreased 2% compared to Q4 of 2011 and Marine segment revenues decreased 9%, if you compare it to the fourth quarter 2011, due to ongoing weakness in Europe. During Q4, all geographic -- geographies declined, though APAC only declined slightly. For the full year, Americas declined 1%, while EMEA declined 4%, and this was partially offset by growth in the APAC region. In 2012, the Americas represented 56% of our revenue; EMEA represented 35%; and Asia, 9%, very consistent with 2011. The Auto/Mobile segment represented 57% of our total revenue during the fourth quarter of 2012, down from 64% in Q4 2011. Outdoor and Fitness grew to 16% and 14% of revenues in the quarter, respectively, an increase from 13% and 10% in the fourth quarter of 2011. On an operating income basis, Fitness and Aviation increased their contribution percentage, while Marine posted a loss in the quarter due to significant R&D investment and low revenues in the seasonably weak fourth quarter. The Auto/Mobile contribution declined on a significant revenue decline. On a full year basis, Auto/Mobile revenue contribution declined from 58% in 2011 to 55% in 2012, with gains in Outdoor, Fitness and Aviation, which contributed 16%, 12% and 11%, respectively. The operating income contribution of the Auto/Mobile segment increased to 37% in 2012 compared to 29% in 2011 due to the improved margins in the segment related primarily to the recognition of high-margin deferred revenue. Q4 Auto/Mobile gross margin and operating margin were 38% and 12%, respectively. Gross margins were stable, as a slight ASP decline associated with our product cycle was offset by a lesser year-over-year impact from the deferred revenue. Operating margin declined slightly, as operating expense reductions were not enough to offset the revenue decline. Q4 Outdoor gross margin was 62%, down from 68% in Q4 of 2011. Operating margin was 39%, a decline from 49% in the year-ago quarter as ASPs declined and the margins contracted due to life cycle pricing on many of our more popular devices. Q4's Fitness gross margin was 60%, down from 64% in the year-ago quarter, as product mix shifted toward the lower-margin Forerunner 10. I do want to note that for the full year, gross margin was up 260 basis points as full year mix was positive. In 2013, we will have product introductions across the price spectrum, and we don't anticipate a significant gross margin decline in Fitness. Operating margin was 34%, down from 43% in the year-ago quarter, as gross margins declined and operating expenses increased due to the allocation of SG&A and advertising expense. Q4 Marine gross margin was 51% compared to 60% in the year-ago quarter, as product mix shifted toward lower-margin products and we offered promotional discounts on end-of-life products. Operating margin was negative 4%, down from 22% a year ago, as the gross margin declined and we increased R&D investment to support our long-term Marine OEM and aftermarket strategy, as Cliff discussed earlier. Q4 Aviation gross margin was 73%, up from 65% in the fourth quarter of 2011, when we recorded an OEM program contribution that negatively impacted gross margins. Operating margin was 26% for the quarter, up from 18% in the prior year due to the gross margin improvement. Q4 operating expenses decreased by $10 million or 4% on a year-over-year basis from $234 million to $224 million in the fourth quarter of 2012. R&D decreased $2 million year-over-year in the fourth quarter but increased 150 basis points to 11% of sales, as headcount increased and we continued to invest in OEM opportunities across multiple segments. Our advertising spending decreased $9 million over the year-ago quarter and held consistent as a percentage of sales at 6%. This was largely driven by decreased cooperative advertising. SG&A increased only slightly in absolute dollars compared to the year-ago quarter and decreased by 190 basis points to 12% of sales. Moving next to the balance sheet. We ended the quarter with cash and marketable securities of almost $2.9 billion. Our accounts receivable increased sequentially to $604 million, which was relatively stable year-over-year. Accounts receivable accounted for approximately 81 days of sales when calculated on a trailing 4 quarters. And as of early February, we've now collected $300 million of this year-end balance. Our inventory balance has decreased to $389 million on a sequential basis at the close of fourth quarter, as we exited the seasonally strong fourth quarter. Our days of inventory metric was 117 days, up slightly from 102 in the fourth quarter of 2011. The dividend payable continued to reflect 2 remaining quarterly payments of $0.45 per share, which was approved by our shareholders on June 1 last year at the annual meeting, as our December 31 payment was not made prior to the close of our fiscal year. Our deferred revenue balance has continued to grow, net of deferred cost, it represents approximately $1.55 of deferred earnings per share. Looking next at cash. We continued to generate free cash flow across our business, as cash from operations was $175 million during the fourth quarter. CapEx came in at $12 million during the fourth quarter. Therefore, we generated free cash flow during Q4 of $163 million. Cash flow invested during Q4 was $192 million use of cash, including the $12 million in CapEx, $175 million net purchase of marketable securities and $5 million of acquisitions. Financing activities were $3 million use of cash during the fourth quarter, as the dividend payment fell in the first quarter of 2013, as previously mentioned. And we earned an average of 1.5% on all cash and marketable security balances during Q4. We expect our strong free cash flow generation year to continue in 2013. And with it, we plan to fund an ongoing quarterly dividend of $0.45, fund a share repurchase program as recently approved by the board of up to $300 million and pursue acquisitions in adjacent niche markets and tuck-in technologies, which fit with our core markets. As expected, our tax rate for 2012 is just over 13%, but this was an increase from 10.8% in 2011. We currently anticipate that our 2013 tax rate will be 14%, as benefit from the retroactive R&D tax credit is offset by geographic income mix. And finally, Cliff has reviewed our 2013 guidance, but I'd just further highlight that we have 4 solid growth segments that we anticipate will represent over 50% of our revenue during 2013. As highlighted in our guidance, we'll continue to invest in 2013 for long-term growth opportunities across the entire business, positioning us well for the future. Well, this concludes our formal remarks. We'll now move to a period of Q&A.
Kerri Thurston: Lisa, would you like to open the queue to our investors and analysts?
Operator: [Operator Instructions] And we'll take our first question from Mark Sue with RBC Capital Markets. And we'll now go to Rich Valera with Needham & Company.
Richard Valera - Needham & Company, LLC, Research Division: A question on the PND growth outlook. I thought about a month ago, you thought that, that market would be down around 10% to 15% in '13, and now it sounds like we're talking about 15% to 20%. So I'm wondering what's changed, whether it's a more detailed analysis of what you saw in 4Q or something you've seen in the last month that makes you more cautious on the PND outlook for '13?
Kevin S. Rauckman: I think we were evaluating business trends. We knew we had come through the fourth quarter with a steeper decline on the PND and that we evaluated global trends across all of our markets. We realized that the decline was in fact steeper than we'd earlier thought. So there really isn't any detailed analysis other than we evaluated the Americas, EMEA and APAC regions and realized that those growth -- those changes in PND shipments were actually not going to get better. So we feel like this is a more accurate outlook on what the overall market is doing. I think we pointed out that this isn't due to any kind of market share declines, just really the fact that we've been gaining share and we anticipate we're going to track more in line with what the overall market is going forward.
Richard Valera - Needham & Company, LLC, Research Division: Obviously, the seasonality was significantly less than what you've seen historically in the fourth quarter. Do you think this is kind of the new normal that we should think of that you don't see nearly as pronounced a seasonal uptick in 4Q as you historically have particularly in the PND segment?
Kevin S. Rauckman: I think that's our expectation now. Of course, we don't have great visibility in the fourth quarter, but we believe that there will be less seasonality. I mean, we'll have some seasonality due to the holiday season, but the numbers won't be as significant as they've been in the last 3 or 4 years.
Richard Valera - Needham & Company, LLC, Research Division: Okay. And just wondering what your expectations are for auto OEM in '13. I think you've talked about that being kind of a $160 million, $170 million business. Do you expect growth in that in '13? And can you give any color on maybe how much growth, if you do expect growth?
Clifton A. Pemble: Yes, Rich. We do expect some incremental growth. We don't expect it to be as strong as 2012 because there were quite a few models and programs ramping up, particularly at Chrysler in 2012. But we're forecasting some slight amount of growth and still something that's starting to be a meaningful part of our Auto/Mobile business.
Richard Valera - Needham & Company, LLC, Research Division: And for the K2, obviously, pretty significant lead times for revenue for a platform like that into the auto OEM market. But any sense of when you might see -- start seeing revenue for the K2, if you could secure wins, say, in the first half of '13?
Clifton A. Pemble: It's really hard to predict. I think that each automaker in each particular project or program would have its own set of requirements and time lines. Typically in the auto industry, when you start talking about a new system, it can take anywhere from 3 to 5 years to come to fruition.
Richard Valera - Needham & Company, LLC, Research Division: Great, just one final one. On Marine, obviously, you had some sort of nonrecurring pressure there [indiscernible] gross margin [indiscernible] promotions discounts. Should we assume that, that bounces back towards [indiscernible]
Clifton A. Pemble: So I think right now the market is definitely pressured [indiscernible] with quite a few competitors. And our product line, which we're refreshing significantly in 2013 is a little bit late to market. So our existing products have been discounted. We do anticipate that the gross margin will probably be down somewhat from the historically high levels, but we would also expect it to bounce back some.
Operator: [Operator Instructions] We now go to Charlie Anderson with Dougherty & Company.
Charles L. Anderson - Dougherty & Company LLC, Research Division: I wanted to talk about Fitness. I noticed in the slide you talked about identifying opportunities to offer best-in-class sensors to expand the TAM. I wondered if you could give us a little bit more color on what you're talking about there. And then also just a big picture question on Fitness. Where is the market on runners' watches and then cycling computers? Insofar as your market share, just how are those markets growing relative to one another?
Clifton A. Pemble: Yes. Charlie, in terms of sensors, Garmin has been in the sensor business for quite a while, offering things outside of what you normally think of us for, the GPS watches. So for example, we offer what we call foot pods, which very accurately track steps and distances traveled without the use of the GPS. And those are typically paired with a lower-end watch or in partnership with another brand or provider in the industry that has some specialized applications. So we've been doing that for quite some time, and we believe our sensors, particularly in the speed and distance area, are superior to others in terms of their accuracy. And your second question, could you please repeat that?
Charles L. Anderson - Dougherty & Company LLC, Research Division: Yes, sure. I'm just kind of wondering the total industry market for GPS running watches and then cycling computers. Kind of insofar, your market share more than the industry, how are those growing relative to one another in terms of what you're baking into your guidance for '13? And I'm also curious, on that, are you baking into your guidance some of these extensions that you talked about with new sensors to achieve that growth rate?
Clifton A. Pemble: Yes. So definitely, we're wrapping everything together to give our total view of Fitness. In terms of the running watch market, we're strongest in the GPS-enabled running watch, which is something we pretty much pioneered in terms of an integrated device. And so we believe we have very strong market share in that segment, probably greater than 50%. Although it's -- even though the volumes are somewhat interesting, it's a niche kind of volume compared to like a PND, so there's not a lot of market research that goes into that. On the bike side, it's a very similar situation, where we're specializing the GPS-enabled portion of the market. The volumes compared to all bike computers is on the lower side but, obviously, the price and the performance and the features are on the high side. So it's a growing category. Cyclists are starting to appreciate the benefits of GPS-enabled cycling. And when we do come out with our Vector power meter later in the year, we'll have a total solution for people high-end head unit with power meter, which is what cyclists really want.
Charles L. Anderson - Dougherty & Company LLC, Research Division: Great. And then just real quickly on Aviation, up 10% to 15%. Without Part 25, will we be looking at sort of a flat market? I'm just curious, is all the growth coming from that? Or are you getting any growth from sort of your legacy market there?
Clifton A. Pemble: We're factoring most of that as growth in the Part 25, the new certifications. There are some of the new products that we've announced that will contribute to both retrofit and OEM, but generally the growth is driven by Part 25.
Operator: We will now go to Simona Jankowski with Goldman Sachs.
Simona Jankowski - Goldman Sachs Group Inc., Research Division: I just wanted to ask you first, and I apologize if I missed it on the call. But what were your underlying assumptions for units and ASPs within the auto PND guidance for this year?
Kevin S. Rauckman: So we didn't address much on the ASP, but we're expecting fairly nominal changes on pricing, but we're looking at overall unit declines globally of around 20% on the PND market, and that's pretty consistent between the Americas and EMEA, which are the 2 largest markets, those both being down at least that level. So those are our assumptions baked in the Auto/Mobile guidance.
Simona Jankowski - Goldman Sachs Group Inc., Research Division: Okay. And the 20% global decline for the market, is that what you're expecting for your own units as well?
Kevin S. Rauckman: We're looking at both industry and Garmin expectations to be pretty consistent, so yes.
Simona Jankowski - Goldman Sachs Group Inc., Research Division: Okay. So it sounds like you're embedding a slight increase perhaps on the ASP side?
Kevin S. Rauckman: No, I think ASPs are -- the difference in -- we're looking -- like first of all, a PND within our Auto/Mobile, of course, that includes mobile, auto OEM and PND. So we're not anticipating any price increases right now.
Simona Jankowski - Goldman Sachs Group Inc., Research Division: Okay, got it. And then you haven't really announced any new infotainment wins for the 2014 models. Is that window now closed? Or would we still potentially expect to see something new there following to your Suzuki win from last year?
Clifton A. Pemble: The window is not closed, and we are working on some additional opportunities, but don't have any details we can share right now.
Simona Jankowski - Goldman Sachs Group Inc., Research Division: Okay. And as I understand, the investment in the auto OEM opportunity is a pretty significant to the point where you have nominal, if not negative, operating margins in that segment. When should we expect margins there to turn positive? And also, at what revenue level can we expect them to kind of hit your longer-term target of about 10% or so?
Clifton A. Pemble: I think it does require significant investment, and we're not at the point where we're achieving the scale there to really turn the needle towards more the number that you mentioned. Although I'd point out that 10% in the auto OEM business is really considered a pretty healthy kind of operating margin. But we would expect in a few years' time, as our revenues grow, that we should be able to turn the corner.
Simona Jankowski - Goldman Sachs Group Inc., Research Division: Great. And then just last quick one. If you can just expand on the Vector product. What does your Fitness guidance assume for that? And how should we think about the revenue and margin opportunity there?
Clifton A. Pemble: We don't break it out by product segment. As I mentioned, we would expect the product to be to market in midyear. That's a little bit late for the season, but we still think that we'll be able to catch some sales in the back half of the year. We're only anticipating some modest impact to Fitness because of that. The margin profile is good on that product, particularly the margin dollars. But again, it's coming a little late, so we're not overfactoring that right now.
Operator: We will now go to Jonathan Ho with William Blair.
Jonathan Ho - William Blair & Company L.L.C., Research Division: Just wanted to understand a little bit in terms of your guidance what your assumptions are around the worldwide macro environment. And does your guidance take into account the share buyback that you announced today?
Kevin S. Rauckman: We assume that we would be buying some back but we didn't put all of the $300 million in the full year. The board actually approved that the $300 million buyback could extend past 2013, so we did assume that we would be buying back, but we didn't -- again, not all $100 million -- or $300 million of that would be bought in 1 year.
Jonathan Ho - William Blair & Company L.L.C., Research Division: Got it. And in terms of your guidance for the worldwide macro environment, I just want to understand sort of your viewpoint, are you assuming that Europe kind of stays the same? Or does that have much of a bearing on your thought process there?
Clifton A. Pemble: I think we definitely factored those things in. Europe's situation is really pretty challenging, and we don't foresee that, that gets materially better. We're also not predicting it gets much worse either, but we feel like we probably hit kind of a bottom there. The North American market is stable to gradually improving, and we think a lot of our performance there and in Europe as well really depends on the introduction of our new products, which always generate new interest and new sales.
Jonathan Ho - William Blair & Company L.L.C., Research Division: Got it, got it. And just in terms of your Auto/Mobile viewpoint, in terms of where the market potentially could stabilize, has that changed at all at this point? Or how should we think about where you think maybe the end market ends up longer term?
Clifton A. Pemble: Well, it's difficult to say. We did go through a pretty rapid change in Q4, where we saw the trends come down more significantly than we have in the past. So predicting an endpoint is a little bit challenging. I would say that we are being more conservative in terms of where that might be in our overall planning, but it is difficult to say exactly where it lands.
Jonathan Ho - William Blair & Company L.L.C., Research Division: And in terms of the Marine business, can you talk a little bit about maybe your expectations around seasonality this year, just given sort of the new product releases, whether we would expect maybe the growth to pick up a little bit earlier in the year or perhaps later?
Clifton A. Pemble: Yes. I think our products, as I mentioned, are a little bit late for the season. We really should have them in the market right now in order to take full advantage of the seasonality. That said, we have good pricing on our existing products and we would expect some improvement in those sales. But probably the impact from the new products won't be seen until the middle half to the end of the year.
Jonathan Ho - William Blair & Company L.L.C., Research Division: Got it. And just one final question in terms of operating expenses. If you were to see perhaps more acceleration in terms of declines around the Auto/Mobile business, how would we -- how should we think about sort of your philosophy around operating expenses and whether you would potentially cut those to hold the margins? Or how should we just think about that generally speaking?
Clifton A. Pemble: I think in general, we're watching the situation closely. We also recognize that it's been only just a short amount of time since we recognized this change, so we want to make sure that anything we do is in line with where the market is going to head long term. That said, there's still some needs across the organization. We feel like we have a very agile workforce that we can redeploy into certain other areas. And so we're taking steps right now to try to maximize our efficiency and make sure that we take advantage of all the opportunities we see.
Kevin S. Rauckman: One other point on that, Jonathan, from an operating expense, really, the only the area that we're seeing any growth in, in 2013 is in the R&D side, so we're managing advertising well. And also, from an SG&A perspective, we're expecting that to decline year-over-year, too.
Operator: And we'll go now to Paul Coster with JPMorgan.
Paul Coster - JP Morgan Chase & Co, Research Division: I just want to go back to the PND for a second, if you don't mind. When you talk -- at least your market research, does it tell you that it's going to stabilize? Or does it tell you that it might go to 0?
Clifton A. Pemble: Well, we don't believe, and we never have believed, that it goes to 0. I think the real question, Paul, is what is the level it stabilizes that. And I think market experts, as well as any number of PND providers can probably debate that point for a long time, but we feel like there's still utility and there's still a market for certain kinds of devices long into the future, and the question is how much.
Paul Coster - JP Morgan Chase & Co, Research Division: Okay. Kevin, did you give any guidance for free cash flow or cash flow from operations for the full year?
Kevin S. Rauckman: We didn't specifically. We do expect strong free cash flow. At this point, we're looking probably at the level of around $525 million, given the operating income numbers that we put into our guidance. So we don't see a lot of movement on working capital. And of course depreciation, amortization stayed about the same. So overall, about $525 million for the year.
Paul Coster - JP Morgan Chase & Co, Research Division: And then my last question is, is there any intellectual property here that can help you defend your very strong leadership position in the Fitness space, which is obviously becoming more competitive?
Clifton A. Pemble: We've always focused on protecting our best ideas and the most general ideas that are enabling to the industry. So we're constantly filing patents and we're constantly thinking ahead in terms of where the market might go. So we feel like we're in a reasonably strong position. I think intellectual property is always a very tricky area, and there's all kinds of situations that are out there in terms of patent law and patent practice. But in general, we feel good about where we stand.
Operator: And we'll now go to John Bright with Avondale Partners.
John F. Bright - Avondale Partners, LLC, Research Division: Can you guys discuss specific aviation or auto [ph] OEM opportunities in '13? And also, where do you -- at what level do you start from in Aviation and Auto/Mobile and OEM?
Kevin S. Rauckman: Well, I think to answer your first question, we've been pretty open about the 5 unique certifications in the Part 25, beginning with the Learjet 70 75 and then ending the year with 3 different Cessna certifications, which are the Sovereign, the Citation X and the M2. So we're going to be more back-end loaded because of the timing of the certification. But as Cliff said earlier, that's what's driving all of the revenue growth for the full year.
John F. Bright - Avondale Partners, LLC, Research Division: But for new opportunities?
Kevin S. Rauckman: New opportunities, we also have some additional wins that are not coming until future years, 2014, 2015. But we do feel like we have a good path forward and new incremental opportunities for several years out.
John F. Bright - Avondale Partners, LLC, Research Division: Next question is a follow-up on a past one. You were asked about free cash flow for calendar '13. A lot of people have asked about deferred revenues, and is that a meaningful portion of the free cash flow, for instance, for '12? Can you address that?
Kevin S. Rauckman: It has been a meaningful impact because of the difference between what we record on the P&L and then the actual cash benefit. For 2013, we're expecting for the first time that we'll actually get a positive treatment on that. So that from now on, we believe that the deferred revenue numbers actually is going to be favorable on the P&L. In the past year, for example, in 2012, I think we had about a $67 million deferred revenue benefit due to cash.
John F. Bright - Avondale Partners, LLC, Research Division: Two final ones for you. Kevin, on the -- in the M&A discussion, you mentioned adjacent niche markets you might expand into. Give us a thought process, or Cliff, give us a thought process of what you're thinking about there?
Clifton A. Pemble: Well, again, if you look at our history, the types of opportunities that we've been able to secure, are ones that are very -- mostly related to the businesses that we're in, and either extend our products, technology or resources in those areas. So for example, Tri-Tronics gave us additional presence in the outdoor market, particularly in the dog training area that complements our dog tracking type of products. And then in Marine, we, this year, acquired Nexus, which gives us an additional presence in the sailing side of the instrumentation markets, where we weren't -- have been historically not very strong.
Operator: And we'll now go to Ben Bollin with Cleveland Research.
Benjamin James Bollin - Cleveland Research Company: I wanted to first ask -- I didn't hear, can you give the split between the automotive OEM business and the PND business for '12?
Kevin S. Rauckman: Yes. It's because we didn't really break it out. We kind of had said historically, it's around a 10% level of our total Auto/Mobile segment, but we haven't given absolute numbers.
Benjamin James Bollin - Cleveland Research Company: Okay. And Kevin, you talked a little bit about the Fitness business, '13. You said gross margins, roughly flat. Any thoughts on how gross margin trends in the other business segments throughout '13?
Kevin S. Rauckman: Well, I think we're expecting fairly stable margins -- gross margins in the Outdoor area. As I said, Fitness is very close. Aviation, we think that's a stable number, too, around 70%. And then the auto PND, we don't expect much deterioration there. So because pricing isn't moving and our bill of material, our costs are fairly stable as well. We believe that all of those are sustainable. Marine is the one, that Cliff mentioned earlier, it's going to be better than what we reported in Q4 but probably a little bit down year-over-year.
Benjamin James Bollin - Cleveland Research Company: Okay. And my last question, looking at the current deferred revenue, it's up about $60 million year-on-year in 4Q. Is there anything happening, which would imply the incremental margin on that revenue is declining? Are your assumptions changing on how much you're deferring per unit? Or anything else that's driving a decline in the incremental margin of that revenue?
Kevin S. Rauckman: No, there's no change in either -- any of those assumptions, no.
Operator: And we'll go next to James Faucette with Pacific Crest.
James E. Faucette - Pacific Crest Securities, Inc., Research Division: Just a couple of follow-up questions for me. First, you mentioned that you have and you expect growth in in-dash in 2013. Right now, do you have enough visibility to say that in-dash can continue to grow into 2014? Or would that necessitate incremental design wins for the 2014 period?
Clifton A. Pemble: I think we're really not prepared to be able to break it out and particularly talk about 2014. I think a lot can happen between now and then, particularly the OEM carmakers tend to make some rapid decisions around extending models or are changing equipment on models. And so as a result, it's kind of difficult to predict.
James E. Faucette - Pacific Crest Securities, Inc., Research Division: And then Kevin, questions for you is in the past you've talked about, particularly with Aviation and Marine, returning to meaningful growth, that there is room for operating margin expansion in those segments. Can you talk about how we should think about kind of at least target operating margin levels for those company -- or for those segments, excuse me, and kind of what kinds of revenue levels we might have to get to, to see those levels?
Kevin S. Rauckman: So I think, first of all, on the Aviation, as you know, we've been putting some significant investments on the certifications on Part 25, and those are going to continue. I think the fact that gross margins are moving, it's just a matter of growing the top line, and so we're seeing 10% to 15% for the upcoming year, which don't -- doesn't really move us back to the historical levels. But with continued new business that we'll see going down the road the next few years, we believe that the operating margins will move back to above the current levels that we've been reporting. Marine, on the other hand, Marine is -- we feel like it's not to the point where we can say it's going to move back up into the -- even in the 20s or 30s, but we have some really some work to do there to be more efficient in that business and to get the biggest bang for our R&D investment there. So I think that may be -- Marine may be a little bit more difficult to return to those levels.
James E. Faucette - Pacific Crest Securities, Inc., Research Division: Great. And then, I guess just a general execution question is that as we look at the initial outlook at least for 2013, you indicated that you've got a couple of products in Marine that you're -- you've been a little bit late on. You also indicated the Vector power meter in particular is going to be later maybe than you had anticipated and certainly later than you thought when you first talked about that product. Is there something that's happened, I guess, organizationally and from an execution perspective that is leading us to kind of see this string of later products? Or are you kind of thinking about those as being one-offs right now? And I guess I'm just wondering how we could see some improvement there, in getting new products to market in time frames you target?
Clifton A. Pemble: James, I think that's a really good question. I think in general, we would always like to do better in bringing our products to market faster. Sometimes, it's a little bit challenging, depending on when those products are initiated, whether or not they can meet the time line, particularly of a seasonality sensitive market like Marine, and that's kind of the situation that we find ourselves in, in that market in particular. Vector is -- every product has its own story. But Vector is a very complicated and precise instrument, and we felt like we needed to take more time to make sure we could meet the expectations of customers who are going to be very, very demanding in that particular market space. So those are the 2 examples that you referenced. But in general, I would say we're working to do better to meet some of those time lines, and I think many of our segments show that they're doing very well in that regard and being able to meet the time lines of the market.
Operator: And at that time -- at this time, that concludes today's question-and-answer session. Mr. Rauckman, I'll turn the call back to you for any additional or closing remarks.
Kevin S. Rauckman: Well, as always, we appreciate everyone's interest. Happy to move forward and really meet or exceed our expectations as we go through. And we, again, look forward to updating each of you, as we do that throughout the year. So thanks, again, and we'll talk later.
Operator: And ladies and gentlemen, that does conclude today's conference call. Thank you for your participation.